Operator: Good morning, and welcome to Olin's First Quarter 2012 Earnings Conference Call. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Mr. Joseph Rupp, Chairman, President and CEO. Please go ahead, sir.
Joseph D. Rupp: Good morning, and thank you for joining us today. With me this morning are John Fischer, Senior Vice President and Chief Financial Officer; John McIntosh, our Senior Vice President of Operations; and Larry Kromidas, our Assistant Treasurer and Director of Investor Relations. Last night, we announced that net income in the first quarter of 2012 was $38.7 million, or $0.48 per diluted share. First quarter 2012 net income included a $1.9 million pretax restructuring charge, primarily associated with our ongoing Winchester centerfire relocation project. Sales in the first quarter of 2012 were $507.2 million. Chlor Alkali first quarter 2012 segment earnings increased 65% compared to the first quarter of 2011 and represent a record level of first quarter Chlor Alkali segment earnings. The year-over-year improvement of Chlor Alkali earnings reflects improved pricing, the 100% ownership of Sunbelt for the full quarter and increased contributions from bleach and hydrochloric acid. First quarter 2012 Winchester segment earnings declined compared to the first quarter of 2011 as improved volumes were more than offset by higher commodity costs and transition costs associated with our ongoing centerfire ammunition relocation project. In the first quarter of 2012, Olin generated adjusted EBITDA of $94.9 million, which represents the highest level of first quarter adjusted EBITDA ever. Our first quarter 2012 adjusted EBITDA increased 38% when compared to the first quarter of 2011. This is the first quarter that we've discussed EBITDA, and we believe it clarifies the impact of the capital investments that were made in 2011 and are continuing in 2012, including investments to exit mercury cell technology, the acquisition of PolyOne's 50% interest in the SunBelt joint venture, the Winchester's centerfire ammunition relocation project to Oxford, Mississippi and the bleach expansion projects. These investments have caused annual depreciation expense to increase by approximately $35 million, or 50%, since 2009. In 2012, Olin has the opportunity to generate the highest level of adjusted EBITDA in the 120-year history of the company. Our second quarter 2012 net income is forecast to be in the $0.50 to $0.55 per diluted share range. Second quarter 2012 Chlor Alkali segment earnings are expected to improve compared to the first quarter of 2012, reflecting seasonally stronger chlorine and bleach demand, partially offset by lower prices. Second quarter 2012 earnings in the Winchester segment are expected to improve compared to the first quarter of 2012, as improved pricing and lower centerfire relocation transition costs more than offset seasonally lower volumes. I'm going to talk about the divisions. First, Chlor Alkali. The first quarter 2012 operating rate was 80%, which is in line with the first quarter 2011 operating rate, but a significant improvement over the 70% rate that we experienced in the fourth quarter of 2011. During the first quarter of 2012, there were planned outages at 5 of our 7 Chlor Alkali manufacturing plants. In addition, there were 2 significant customer outages during the quarter, one of which was planned and one of which was unplanned. We expect the unplanned outage to continue into the second quarter and to negatively impact our second quarter chlorine volumes. The second quarter operating rate is expected to be in the mid-80% range. During the second quarter, the seasonal increase in bleach had contributed approximately 2% to our operating rate, and there are no major outages planned in the Olin system during the second quarter. The first quarter ECU netback, including SunBelt, was approximately $585 per ton, which compares to the fourth quarter 2011 ECU netback of approximately $590 per ton and the first quarter of 2011 net back of approximately $525 per ton. The decline in the netback from the fourth quarter of 2011 to the first quarter of 2012 reflects the continuation of the pattern that we experienced beginning in the second half of 2011 in which increases in caustic soda prices were being offset by decreases in chlorine prices. During the first quarter, there was a $45-per-ton caustic soda price increase announced and a $40-per-ton chlorine price increase announced. The $45-per-ton caustic soda price increase, despite being followed by the majority of producers, continues to encounter resistance, and at this point, its success is uncertain. The announced chlorine price increase was not followed by all producers, and its ultimate success is also uncertain. And as a result, we expect the second quarter 2012 ECU netback to be flat to slightly down compared to the first quarter. Freight costs included in the first quarter of 2012, ECU netback increased 4% compared to the first quarter of 2011 but declined 5% compared to the fourth quarter of 2011 and were lower than the average cost for the full year of 2011. Based on our experience over the past several years, we do expect full year 2012 freight cost per ECU to increase when compared to 2011. And as we stated in our fourth quarter 2011 earnings conference call, we did take the step in 2011 of filing a rate case against 2 railroads. It was a step we believed necessary in a process to control freight cost. The resolution to this case will take approximately 18 to 24 months. During the first quarter of 2012, our first low-salt, high-strength or high-pure bleach facility began operation in McIntosh, Alabama. The start of this facility, which produces bleach approximately twice the strength of conventional bleach, increased our bleach capacity by approximately 15%. We now have the capacity to convert approximately 12% of our total Chlor Alkali capacity to bleach. We also continue to be on track to begin shipments from the 2 additional high-pure plants that are under construction at Niagara Falls, New York and Henderson, Nevada. These 2 facilities will be up and running by the end of 2012. When the plants are completed, we will have the ability to convert in excess of 15% of our Chlor Alkali capacity to bleach. First quarter 2012 bleach shipments increased 8% compared to the first quarter of 2011, and we have now experienced 17 consecutive year-over-year quarterly increases in the volume of bleach sold. During the first quarter, the premium received on bleach shipments above the value of chlorine and caustic was at the high end of the $100 to $200 per ton range that we typically experience. Shipments of hydrochloric acid increased 10% in the first quarter of 2012 when compared to the first quarter of 2011. Over the past year, we've seen overall demand for hydrochloric acid increase primarily due to the increased demand to support the oil and gas exploration. This stronger demand has caused the HCL prices to increase significantly, and the positive impact on our Chlor Alkali profits from higher sales volumes and higher selling prices was approximately $9 million in the first quarter of 2012 when compared to the first quarter of 2011. We currently have the ability to convert approximately 8% of our capacity to a third-party sales of hydrochloric acid. Electricity costs in the first quarter of 2012 declined compared to the first quarter of 2011, and based on our current forecast of operating rates, we believe full year 2012 electricity costs per ECU produced will decline compared to 2011. As I stated earlier, the first quarter 2012 segment earnings of $74.4 million represents the highest level ever of first quarter earnings for this business. The business also has the opportunity to generate the highest level of second quarter earnings ever. Chlor Alkali has positive momentum heading into the balance of 2012 and should continue to benefit from the 2011 acquisition of the 50% of SunBelt that we did not own and from ongoing expansion of our bleach capacity. I'll discuss Winchester. During the first quarter, the Winchester centerfire ammunition relocation project continued, and handgun operations in the new Oxford, Mississippi facility began to reach critical mass. Approximately 2/3 of all the handgun ammunition produced in the first quarter was produced in the Oxford facility, and recently, production rates at Oxford have exceeded those experienced in East Alton before the relocation. We've also recently begun the rifle ammunition relocation project, with the objective of initiating production by the end of the year. Winchester's first quarter 2012 earnings were negatively impacted by approximately $3 million as a result of the relocation. This impact includes the incremental costs associated with operating 2 locations, start-up costs in Oxford, Mississippi and some small production shipment delays. These costs more than offset the reduced labor costs that are being realized in Oxford. As Winchester moves to the balance of 2012, we expect an additional but smaller negative impact to Winchester's second quarter 2012 results, followed by a small benefit in the third quarter and approximately $3 million benefit in the fourth quarter of 2012. We continue to expect to realize $30 million of annual savings when the project is complete and that meaningful savings will begin to be realized in the second half of 2013. Winchester has continued to experience stronger-than-expected post-surge commercial demand, especially for handgun and rifle ammunition. During the first quarter of 2012, Winchester's commercial backlog increased by over $100 million, which compares to the first quarter 2011 increase of approximately $40 million. The increase in commercial backlog was accompanied by a 13% increase in commercial sales from the first quarter of 2011 to the first quarter of 2012. Commercial handgun, shotshell and Rimfire ammunition sales all increased more than 7% in the first quarter of 2012 compared to the first quarter of 2011. The first quarter 2012 increased commercial sales more than offset a 4% decline in military and law enforcement sales. During the first quarter of 2012, the purchase price for copper increased approximately 12% compared to the first quarter of 2011, while the purchase price for lead and zinc decreased approximately 2%. The combined negative year-over-year impact of these price changes is approximately $1.5 million, and it's currently our expectation that the total purchase cost price per pound for copper and zinc should decline from the first quarter of 2012 to the second quarter of 2012. As we look forward to the second quarter and the balance of 2012, I feel positive about the outlook for both Winchester and Chlor Alkali. Winchester is experiencing strong demand that we believe will continue at least into the third quarter, and we will begin to realize cost savings for the centerfire ammunition relocation as we move through the year. In Chlor Alkali, the bleach business continues to grow. Fundamentals in hydrochloric acid market are strong, and ECU prices are at favorable levels with opportunities for additional increases. Based on the first quarter results, we have -- Olin has the opportunity in 2012 to generate the highest level of annual adjusted EBITDA in the history of the company. So now I'm going to turn the call over to our Chief Financial Officer, John Fischer who'll review several financial matters with you. John?
John E. Fischer: Thank you, Joe. First, I'd like to discuss a few items on the income statement. Selling and administration expenses increased $4.2 million, or 11%, in the first quarter of 2012 compared to the first quarter of 2011. The year-over-year increase reflects increased salary and benefit costs, a higher level of legal and legally related settlement costs and the inclusion of SunBelt's selling and administrative expenses as consolidated Olin expenses for the full quarter, partially offset by reduced acquisition cost related to SunBelt. First quarter 2012 charges to income for environmental, investigatory and remedial activities were $2.8 million, which included $100,000 of recoveries from third parties for environmental costs incurred in expense in prior periods. During the first quarter of 2011, there were $1.5 million of charges related to environmental, investigatory and remedial activities, which included $500,000 of recoveries for environmental costs incurred in expense in prior periods. After giving consideration to the recoveries in both periods, year-over-year expenses related to environmental, remedial and investigatory activities increased by $900,000. These charges related primarily to expected future investigatory and remedial activities associated with past manufacturing operations and former waste disposal sites. We continue to forecast that full year 2012 expenses for environmental, investigatory and remedial activities prior to any recoveries will be comparable to 2011. We are not currently expecting any additional environmental recoveries in 2012. On a total company basis, defined benefit pension plan income was $4.9 million in the first quarter of 2012 compared to $5.6 million in the first quarter of 2011. We are not required to make any cash contributions to our domestic defined benefit pension plan in 2012 and believe the earliest we may be required to make any cash contributions to that plan is 2014. In 2012, we expect to make cash contributions to our Canadian defined benefit pension plan of less than $5 million. As a reminder, under Canadian pension rules, service costs are required to be funded annually. Defined contribution pension plan expense was $3.6 million in both the first quarter of 2012 and 2011. The vast majority of our employees now participate in the defined contribution pension plan. As a reminder, our domestic defined benefit pension plan is frozen to new entrants, all salaried, all non-union hourly and most union employees. During the first quarter, Olin recorded a $1.9 million restructuring charge. This charge was primarily related to employee relocation expenses associated with our ongoing relocation of the Winchester centerfire ammunition manufacturing operations from East Alton, Illinois to Oxford, Mississippi and from exiting the use of mercury cell technology in the Chlor Alkali manufacturing process by the end of 2012. We expect to incur approximately $8 million of additional restructuring charges associated with the Chlor Alkali projects through the end of 2013 and approximately $15 million of additional restructuring charges associated with the Winchester relocation between now and at the end of 2016. We expect total restructuring charges in 2012 related to these projects to be approximately $10 million. The effective tax rate for the first quarter was 36%. And for the full year, we continue to believe the effective tax rate will be in the 36% to 37% range. We also estimate that our cash tax rate, which will benefit from the accelerated depreciation provided for in the Tax Relief, Unemployment Insurance Reauthorization and Job Creation Act, will be approximately 15% in 2012. Now, I'd like to turn to the balance sheet. Cash and cash equivalents at March 31, 2012, including the restricted cash associated with the Go Zone and Recovery Zone financings that were completed in 2010 and are classified as a long-term asset on the balance sheet, totaled $254.7 million. As of March 31, 2012, there was $34.1 million of cash that remained restricted and will be available to fund additional 2012 capital spending at our facilities in Alabama, Mississippi and Tennessee. We continue to expect all the restricted cash to be utilized in 2012. During the first quarter, receivable and inventory balances increased approximately $50 million from year-end 2011 levels. During the first 2 quarters of the year, Olin typically experiences a $50 million to $100 million growth in working capital, which is liquidated by the end of the year. This working capital growth, which totaled $71 million in the first quarter of 2012, reflects seasonal increases in activity compared to the weak fourth quarter in both Chlor Alkali and Winchester, plus inventory builds in Winchester as that business moves towards the third quarter peak in its selling season. First quarter 2012 capital spending was $75.9 million, approximately 65% of which supported the Charleston mercury cell technology conversion project and the 3 high-pure bleach projects. We believe that the largest part of our 2012 capital spending will occur in the first half of the year. Full year 2012 capital spending is projected to be in the $215 million to $245 million range compared to $200.9 million in 2011. The higher level of spending in both 2012 and 2011 includes spending for the Chlor Alkali mercury cell conversion in Charleston, the construction of high-pure bleach plants at 3 of our Chlor Alkali facilities and the ongoing Winchester centerfire relocation project. Full year 2012 depreciation is forecasted to be in the $105 million to $110 million range. Depreciation and amortization expense in the first quarter of 2012 was $25.5 million, which compares to $23.2 million in the first quarter of 2011. Depreciation and amortization expense associated with the Chlor Alkali business was $21.6 million and $20.1 million in the first quarters of 2012 and 2011, respectively. We expect quarterly depreciation expense to increase sequentially as we move through 2012. In the second quarter of 2012, we plan to redeem $7.7 million of industrial revenue bonds with maturities in 2017. We will pay an early redemption premium of approximately $200,000, which will be offset by the recognition of the $200,000 gain on interest rate swaps applicable to these bonds. Also in December of 2012, $12.2 million of payments will be made on the SunBelt notes. These notes require annual payments and are required to be repaid by the end of 2017. During the first quarter, approximately 55,000 shares of Olin's stock were repurchase at a cost of approximately $1.2 million. In 2011, a total of approximately 200,000 shares were repurchased at a total cost of $4.2 million. In July 2011, Olin's Board of Directors approved a 3-year $5 million share repurchase program. In April, we entered into a new 5-year senior revolving credit facility of $265 million, which replaced the $240 million senior revolving credit facility that was set to expire in October of this year. The new credit facility will expire in April of 2017. Borrowing options and restricted covenants are similar to those of our previous $240 million senior revolving credit facility. The new $265 million senior revolving credit facility includes $110 million letter of credit facility and a $50 million Canadian sub-facility. In conjunction with this new senior revolving credit facility, we terminated our additional $25 million letter of credit facility. Yesterday, Olin's Board of Directors declared a dividend of $0.20 on each share of Olin common stock. The dividend is payable on June 11, 2012 to shareholders of record at the close of business on May 10, 2012. This is the 342nd consecutive quarterly dividend to be paid by the company. Before we conclude, let me remind you that throughout this presentation, we have made statements regarding our estimates of future performance. Clearly, these are forward-looking statements, and results could differ materially from those projected. Some of the factors that could cause actual results to differ are described without limitations in the Risk Factor section of our most recent Form 10-K and our first quarter earnings release. A copy of today's transcript will be available this afternoon on our website in the Investor Section under calendar of events. The earnings press release and other financial data and information are available under press releases. And operator, we are now ready to take questions.
Operator: [Operator Instructions] Our first question is from Frank Mitsch with Wells Fargo Securities.
Frank J. Mitsch - Wells Fargo Securities, LLC, Research Division: You referenced in a discussion on Chlor Alkali the unplanned outage in Q1 spilling over into Q2. And I was wondering if it might be possible to kind of size that for us in terms of other financial impact or in terms of volume impact that you're seeing there? And I'll also clarify, you do not have any major planned turnarounds in Q2 in that area?
Joseph D. Rupp: No, we do not have any major turnarounds. It's worth about 3% in operating rate for us. The outage is worth about 3%.
Frank J. Mitsch - Wells Fargo Securities, LLC, Research Division: And what percent of that was in Q1 versus what percent of that in Q2?
John E. Fischer: Frank, the impact on Q2 is about 3%. The impact in Q1 was less than 1%.
Frank J. Mitsch - Wells Fargo Securities, LLC, Research Division: All Right. Okay. Okay. Great. And I just want to clarify. It sounded to me, I guess, that your freight rates impacting your ECU netback, that was -- the freight rate was sequentially down. Was that correct?
John L. McIntosh: That was correct. It was, and it was most attributable to just a comparable -- the quarter we were comparing it with, we had some extraordinary freight shipments because of logistical issues. So it was really an indication of a benefit from a comparable period. We don't expect freight costs -- we don't expect that trend to continue. As a matter of fact, we expect freight costs for the full year to be an increase over what we saw in 2011.
Frank J. Mitsch - Wells Fargo Securities, LLC, Research Division: Okay, okay. Fine. That was kind of an unusual comment to hear. I'd never seen freight rates actually go down. And then lastly, but you are forecasting that your electricity costs will be down year-over-year on the Chlor Alkali side. Could you size that for us in terms of order of magnitude, your expectation there?
John L. McIntosh: I would rather just explain what's driving it than try and size it. As we look at our fuel mix, our portfolio of fuels from the companies we buy electricity from, that portfolio is shifting away from coal and shifting towards natural gas. And in today's environment, natural-gas-generated fuel is obviously a benefit, and so as we look at the balance of the year, we just expect to see that trend manifest in our numbers.
Operator: Our next question is from Christopher Butler with Sidoti & Company.
Christopher W. Butler - Sidoti & Company, LLC: I was hoping that you might talk a little bit towards your Chlor Alkali pricing, a little bit more with the 2 price increases that were announced as kind of a backdrop. The assumption that I've been under is depending on volume growth as the year progressed would determine whether the chlorine price increase took hold versus the caustic soda price. It was probably going to be one or the other. A little bit surprised that it seems that there's less in the cards overall. Could you talk to that a bit for us?
Joseph D. Rupp: I think simplistically, what we'd tell you is that we expect chlorine prices to firm up as we move into the seasonally stronger summer period. We also believe that caustic price increases that were announced that have not yet been successful may just be stalled.
Christopher W. Butler - Sidoti & Company, LLC: And as we look at this quarter and take out SunBelt, could you talk to the organic volume growth that you saw?
John E. Fischer: Chris, if you took out SunBelt, the chlorine and caustic soda volumes were essentially flat. The growth we saw was in hydrochloric acid and bleach.
Christopher W. Butler - Sidoti & Company, LLC: And looking towards the spring, it sounds like you're optimistic about a good bleach spring season for you?
John E. Fischer: Yes, we are.
Operator: Our next question is from Alex Yefremov with Bank of America Merrill Lynch.
Aleksey V. Yefremov - BofA Merrill Lynch, Research Division: I just wanted to come back to electricity contracts. Could you explain to us whether the declines that you're seeing in your electricity costs is a function of lower prices on existing contracts or a re-signing of those contracts that expire? And also maybe, if you could address, what percentage of your electricity contracts on average are re-signed each year?
John L. McIntosh: All of our electricity contracts are long-term contracts, so we don't typically have annual contract extensions or contract renewals. So this is just based on -- electricity prices, just based on what the utilities are charging for -- industrial rates that are applicable to a large industrial consumer like Olin and including what they're paying for their respective fuels they use in their generation portfolio.
Aleksey V. Yefremov - BofA Merrill Lynch, Research Division: So the declines in the costs that you see is a function of basically repricing existing contracts to a lower rate, is that correct?
John L. McIntosh: That's correct.
Joseph D. Rupp: Fuel adjustments.
John L. McIntosh: Yes, it's fuel adjustments as part of the tariff for a large industrial electricity consumer.
Aleksey V. Yefremov - BofA Merrill Lynch, Research Division: And if you look at those fuel adjustments, what kind of leverage is there to natural gas prices? Is it pretty straightforward versus spot natural gas, or maybe it's half that rate? Or could you just give us some sense of the sensitivity versus spot natural gas?
John L. McIntosh: I don't -- we don't have that information because the utilities manage their fuel acquisition as a pretty well guarded part of their portfolio. I can tell you that when we look at our exposure to the various fuels, whether it's coal, natural gas, hydropower or nuclear, we're very comfortable that we have a balanced portfolio and we don't have undue exposure, positive or negative, negative exposure in any of those areas.
Aleksey V. Yefremov - BofA Merrill Lynch, Research Division: And just a follow-up, if I may. On Winchester, are you -- do you expect to increase prices this year versus last year? It sounds like you're signing some positive price trends there?
Joseph D. Rupp: We have price increases that have been announced to take effect June 1.
Aleksey V. Yefremov - BofA Merrill Lynch, Research Division: Can you size them?
Joseph D. Rupp: In the 2% to 6% range depending upon the product.
Operator: Our next question is from Don Carson with Susquehanna Financial.
Donald Carson - Susquehanna Financial Group, LLLP, Research Division: I just want to clarify on pricing. You talk about the potential for lower prices in Q2. Is this just from the ECU or is this a comment on byproducts like hydrochloric acid and bleach as well? And I'm wonder specifically on HCL what the downturn in drilling rig activity. Are you seeing any reduction in demand or prices?
John L. McIntosh: The pricing comment is related to ECU pricing. And it's driven by the fact that first quarter caustic index prices dropped $25. In the first quarter, chlorine index pricing dropped $45. So to the extent that we have contracts that are tied to index pricing, we're going to have to deal with those changes in the second quarter. So it's ECU. From an HCL standpoint, we have seen some seasonal reduction in demand relative to the oil and shale gas fields but nowhere else. We continue to see strong HCL demand in steel and high-fructose corn syrup and in the other markets that we serve with our HCL product.
Donald Carson - Susquehanna Financial Group, LLLP, Research Division: Joe, your initial guidance for Q1 was $0.35 to $0.40, including a $2.5 million restructuring costs. You came in at $48 million. What was the driver of this upside and are you being similarly cautious with your Q2 guidance? Could there be a similar upside?
Joseph D. Rupp: What I'd say there, Don, is just that our performance certainly was better from a bleach -- from an HCL perspective, a little bit from a volume perspective, for the first quarter. In the second quarter, I think where we are in the second quarter is it wouldn't take a lot for it to get better. I think there's just a little bit of uncertainty as to what demands -- what demand levels are going to be and what that may have an effect from a pricing perspective.
Donald Carson - Susquehanna Financial Group, LLLP, Research Division: And then finally on cash flow, what happens to CapEx next year? And I know you've talked in the past about perhaps returning more cash to shareholders. Just wondering where you're thinking of accelerating your share repurchase or whether that would be a bump in the dividend?
John E. Fischer: Our expectation is that capital spending next year will probably be a round number, $100 million less than it is forecast to be this year. We'd put it at somewhere between $100 million to $125 million, keeping in mind that maintenance capital is probably in the $80 million to $85 million range today. And I think we've said all along that our preference for the use of cash is to invest in the business first. We would look at the dividend, second; and we'd be more aggressive on share repurchases, third.
Operator: Our next question is from Dmitry Silversteyn with Longbow research.
Dmitry Silversteyn - Longbow Research LLC: A couple of questions, if I may. What -- can you give us an idea what your bleach premiums to ECU were in the quarter as well as your hydrochloric acid premiums?
John L. McIntosh: Well, we've said that our bleach premiums typically run in the $100 to $200 range in the quarter. We just finished that we were at the high end of that range. On HCL premiums, and this is a premium to chlorine, the number in the last quarter was roughly comparable with that in terms of range. But I would say that HCL being sold into either shale or oil has an additional premium associated with it.
Dmitry Silversteyn - Longbow Research LLC: So something better than $200 premium versus a ton of chlorine?
John L. McIntosh: Into that market segment over the last quarter, yes.
Dmitry Silversteyn - Longbow Research LLC: Okay. And if you sort of look at combined bleach and hydrochloric acid volumes versus your ECU, what percentage of your production was these 2 products?
John L. McIntosh: About 12% of our capacity we can produce is bleach, and about 8% is hydrochloric acid.
John E. Fischer: And in the first quarter, obviously, bleach is weaker, so we didn't use the full 12%.
Dmitry Silversteyn - Longbow Research LLC: All right. Okay. So okay, 8% of chlorine -- of hydrochloric acid. Okay. Utilization rates expectations, I think you talked about having kind of flattish utilization rates in the second quarter because of these 2 customer outages, one of which will last into the second quarter. Do you expect the utilization rates -- can you kind of look out beyond second quarter, or is that too soon to talk about third quarter utilization rates?
John L. McIntosh: Well we -- our expectation for operating rates in the second quarter were not flat. We talked in our prepared comments about mid-80 operating rates, and our operating rates for the first quarter were in the 80% range.
Dmitry Silversteyn - Longbow Research LLC: [indiscernible] slightly year-over-year, I apologize.
John L. McIntosh: We're forecasting an improvement in the second quarter. And typically, second and third quarter are for us the highest utilization quarters that we experience during the course of the year. We've seen nothing to indicate that trend won't continue. To forecast anything more specific than that in the third quarter is really something that we just don't have that much clarity on.
Dmitry Silversteyn - Longbow Research LLC: Got it. Got it. Question on pricing environment. You talked about the price increases in caustic sort of stalling or being delayed, and it doesn't sound like you're very optimistic about the chlorine price increase. Has anything changed in the environment in perception of buyers, sellers to give you some confidence that the index pricing at least will start moving up in the second quarter, so hopefully by the third quarter you're going to see some price increases?
John L. McIntosh: I can make a comment anecdotally about what we see in our system, okay. We are light on caustic shipments and have been for a significant part of the first quarter, and that trend has continued. And from our perspective, it wouldn't take much in terms of a reduction in demand for chlorine, driven by the strength of the downstream derivative markets or operating problems or planned shutdowns across the industry to make that caustic demand situation even tighter than it currently is as we see it right now. We continue to see strong demand on -- in the caustic molecule for the market segments we serve. So we think we're potentially at a transition point where it wouldn't take much movement on the chlorine side for us to see positive caustic pricing movement.
Dmitry Silversteyn - Longbow Research LLC: So despite the tightness in the market we've seen in the first quarter and seeing right now, there's not a price movement. But you think if it tightens further, that we see can this logjam breaking?
John L. McIntosh: But from our perspective, we're telling our customers that we can't meet their shipment dates, and we're pushing to the extent we can a pricing philosophy that is consistent with that. And we assume or see the potential that the rest of the industry will -- could be in a similar position.
Dmitry Silversteyn - Longbow Research LLC: And then a final question. You talked about moving more to natural gas and less coal in terms of your energy source. How much of your energy needs are met by natural gas currently?
John L. McIntosh: We've not given those numbers out. But what I will say again, is when you look at those for fuels we feel we're very balanced and we feel good about our position. And it's not anything we're doing. This is driven by regulations that the utilities are facing associated with air emissions. And that's what's driving them away from coal as a fuel source and towards natural gas, which is cleaner from the standpoint of using it in generating electricity.
Dmitry Silversteyn - Longbow Research LLC: So it's not you changing vendors or suppliers, so to speak of electricity. It's just that your suppliers are changing their starting point.
Joseph D. Rupp: Yes.
John L. McIntosh: That's correct.
Operator: Our next question is from Herb Hardt with Monness.
Herbert Hardt - Monness, Crespi, Hardt & Co., Inc., Research Division: As you look out your CapEx over the next few years, does that ratio of bleach and HCL get much higher?
John E. Fischer: As we move through 2012 and complete the high-pure plants, we will have gone from about 8% of our capacity being able to be dedicated to bleach to 15%. We've said as a long-term objective that we'd like to get that up to 20%. So that will require additional investment beyond the end of 2012. I think we're also looking at the hydrochloric acid market and what's happened to it and trying to assess the long-term nature of the current demand. And that would also be an opportunity for us to invest. And we would not at all be uncomfortable with putting 12% to 15% of our chlorine capacity into HCL, and that would also inquire investment.
Operator: Our next question is from Edward Yang with Oppenheimer.
Edward H. Yang - Oppenheimer & Co. Inc., Research Division: I'm sorry if I missed this, but the better-than-expected operating rate in the quarter, was that weather related and was that going to -- did that borrow any future demand from future quarters?
John L. McIntosh: No. It wasn't a quarter-over-quarter change.
Edward H. Yang - Oppenheimer & Co. Inc., Research Division: Okay. And I mean, it sounds like you're optimistic on the pricing outlook, but we really haven't seen a lot of traction on the price increases yet both on the chlorine and caustic side yet. But before those contract prices are accepted, would spot prices move up ahead and kind of narrow the gap with current contract prices? Currently, they're below, or is that kind of that really doesn't have any influence on whether those contracts get accepted?
John L. McIntosh: If you're a buyer, that's the position you would take as the spot prices ought to change before contract prices do. But if you look historically, that relationship doesn't always hold. And I think you just have to look at what's going on in the marketplace and what the supply and demand balance is. And there can be events that change that but will happen in a manner that will drive both contract and spot pricing.
Edward H. Yang - Oppenheimer & Co. Inc., Research Division: Okay. And there are a couple of cross currents here. It sounds like from what we're hearing, North American housing is getting better but China is getting weaker. It's a little wobbly right now. I mean, what's more important?
John L. McIntosh: Well, I don't know if you can necessarily qualify as one being more important. China's important because China is still an exporter of caustic into the U.S. West Coast. But they're very disadvantaged now because of freight rates, and they're really disadvantaged from going anywhere else with caustic in North America. Caustic exports out in North America continue to be very strong and will be very similar to what they were in 2011, which was net export numbers in excess of 1 million tons going to South America. So when we look at the other world geographies, we typically look at it from a caustic standpoint as to who's most competitive and who can serve the geographies closest to them. Chlorine derivatives are going to be driven by what China's demand pattern is because that and the Far East where most of the chlorine derivatives end up these days.
Edward H. Yang - Oppenheimer & Co. Inc., Research Division: And your comments on the exports, again, this year being as strong as last year, that's on the caustic side or on the chlorine derivative side, on the vinyl side?
John L. McIntosh: Well, on the caustic side, specifically, but chlorine derivative exports were strong last year, and we forecast that, that will continue this year as well.
Edward H. Yang - Oppenheimer & Co. Inc., Research Division: Okay. And then finally on Winchester, are you seeing a pickup in demand just related to the election or is this more of a recurring kind of improvement you're seeing?
Joseph D. Rupp: There's just been a pickup which may be related to the election and also is to just undercurrent of interest in personal defense that just continues to be there.
Operator: Our next question is from Gregg Goodnight with UBS.
Gregg A. Goodnight - UBS Investment Bank, Research Division: I actually have one question that hasn't been asked. The inventories of caustic, both at producers and downstream, how do you typify those right now? Are they [indiscernible] is it fairly full tanks? Are there some [ph] inventories has to pick up in rates of the industry-replenished inventories? Could you typify that for me, please?
John L. McIntosh: I can tell you that our inventories across our system are low, and that inventories in our terminal system are also low and that our customers are not sitting on large inventories of caustic, either. I've heard mixed reports about distributor inventories and distributor tanks up and down the river system. In some cases, I've heard reports that because of the mild winter, they bought inventories a little sooner than normal in preparation for an early bleach season and some early seasonal demand. But that's anecdotal at best. But when we look through our system, all the way to our customers, caustic inventories are low.
Gregg A. Goodnight - UBS Investment Bank, Research Division: Okay. As a follow-up, you’ve had issues with your own shipments. Have you tried to arrange swaps with other producers? And if you have, what has been your experience? Is there material available?
John L. McIntosh: We have tried to arrange swaps. In some cases, material availability was an issue because we couldn't -- we could find caustic available but it was diaphragm caustic and not high-purity caustic. But I wouldn't say that there's an abundance of caustic available in the market right now from any of the producers in the industry.
Operator: Our next question is from Roman Kuznetsov with Gates Capital Management.
Jeffrey Linn Gates - Gates Capital Management, Inc.: It's actually Jeff. I have a question, a few questions actually. First on capacity, is there any -- can you talk about the new capacity additions in North America that might be coming on and will those be natural gas based? Are there -- can you give us your rough fuel mix between the coal and hydro and natural gas? And secondly, on the freight rates, I know you had a good performance this quarter versus a tough comp. I think last year, they were at 20%. Can you tell me what they been at the last 3 years and what you expect them to be at the next 3 years?
John L. McIntosh: The only capacity announcements that's out there is the Westlake announcement, and they're forecasting an additional plant in their system being built between now and the end of 2013. In terms of fuel mix, we don't specifically give out numbers for the respective fuels other than to say between coal, natural gas, hydro and nuclear, we have a balanced portfolio as we look across our system. And that's really as specific as we've gotten. I don't think -- from a freight standpoint, I don't have last 3 years' numbers in front of me, but I guess, I wouldn't expect future freight increases to look much different than they've looked in recent history.
John E. Fischer: Again, Jeff, I would say if you were looking to model something, an average of about 10% per year is what we've seen over a long period of time.
Jeffrey Linn Gates - Gates Capital Management, Inc.: Okay. And then one last question. Actually, 2 others. First, on the environment outlays, if I recall from the 10-K, it was about $60 million of outlays this year. And if I recall, did you say the expense was going to be comparable, which is around $20 million, so the delta would about $40 million of outlay above the expense?
John E. Fischer: Jeff, the outlays that we referred to in the 10-K cover not just the legacy environmental sites but also environmental expenditures associated with the operations of our current sites. What we have said is that we expect to spend between $20 million and $30 million a year for modeling purposes to service the legacy sites, and the expense that we referred to in 2012 being equal to '11 was associated with the legacy sites.
Jeffrey Linn Gates - Gates Capital Management, Inc.: So for the whole company, what would be the environmental expense be for '12 and what would the outlay be?
John E. Fischer: If you were looking at expense for the entire company, there's approximately $20 million -- $20 million to $25 million that shows up in Corporate and Other that is associated with the legacy. And then there's another $20 million or $25 million a year that shows up in cost of goods sold associated with the plant operations.
Roman Kuznetsov: Okay. So the delta is only about $15 million or something like that?
John E. Fischer: Something like that. Historically, the spending around the environmental -- the legacy environmental has had a fairly high standard deviation anywhere from $15 million to $30 million.
Jeffrey Linn Gates - Gates Capital Management, Inc.: Okay, that's helpful. And then just one last question, sort of a bigger picture. Does the housing recovery help the company or does it make it more challenging on the caustic side?
John E. Fischer: Housing recovery that is slow and steady is good for the company. A spike in housing we would think in the short run would be negative because it would put more caustic in the market in the short run than the market might be able to absorb without reducing prices.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Mr. Joseph Rupp for any closing remarks.
Joseph D. Rupp: We just want to thank you for joining us, and we look forward to reporting our results to you in July at the end of the second quarter. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. Please disconnect your lines.